Operator: Good day, and welcome to the Star Group Fiscal 2022 First Quarter Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Chris Witty, Investor Relations Advisor. Please go ahead.
Chris Witty: Thank you, and good morning. With me on the call today are Jeff Woosnam, President and Chief Executive Officer; and Rich Ambury, Chief Financial Officer. I would now like to provide a brief Safe Harbor statement. This conference call may include forward-looking statements that represent the company's expectations and beliefs concerning future events that involve risks and uncertainties that may cause the company's actual performance to be materially different from the performance indicated or implied by such statements. All statements other than statements of historical facts included in this conference call are forward-looking statements. Although the company believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to have been correct. Important factors that could cause actual results to differ materially from the company's expectations are disclosed in this conference call, the company's annual report on Form 10-K for the fiscal year ended September 30, 2021, and the company's other filings with the SEC. All subsequent written and oral forward-looking statements attributable to the company or persons acting on its behalf are expressly qualified in their entirety by the cautionary statements. Unless otherwise required by law, the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise after the date of this conference call. I'd now like to turn the call over to Jeff Woosnam. Jeff?
Jeff Woosnam: Thanks, Chris, and good morning, everyone. Despite the company facing temperatures that were 6.3% warmer than last year and 18.6% warmer than normal negatively impacting demand, I'm pleased with the overall performance of the first quarter of fiscal 2022. We were able to overcome the weather-related volume shortfall with solid management and strong expense controls particularly in the face of certain inflationary pressures to deliver adjusted EBITDA in line with the prior year. Our customer retention also improved as our net change in accounts was almost equally driven by both an increase in customer additions as well as a decrease in losses versus the prior year, further supporting our focus on the customer experience. In addition, I'm happy to report that our acquisition program remained active during the period as we purchased three heating oil businesses that brought with them approximately 3 million gallons of annual product sales. We continue to evaluate interesting opportunities to support our strategic growth plan. Our recap of our results would not be complete without mentioning how grateful I am to our employees, who while despite the unique circumstances over the past year have remained entirely focused on servicing our customers. Most notably, their willingness to step up, and in many cases work extended hours to meet the added demand brought on by much colder weather in January was further evidence of our team's dedication to our customers. It's too early to say how fiscal 2022 will play out. But we are encouraged to see cooler temperatures over the past month, and believe we are well positioned to address whatever challenges or opportunities might present themselves for the remainder of the heating season. With that, I'll turn the call over to Rich.
Rich Ambury: Thanks, Jeff. And good morning, everyone. For the quarter, our home heating oil and propane volume decreased by 2.5 million gallons or approximately 3% to 87 million gallons, as the additional volume provided from acquisitions and other factors was more than offset by the impact of warmer temperatures and net customer attrition. As Jeff mentioned, temperatures for the fiscal 2022 first quarter were 6% warmer than the prior year period as well as approximately 19% warmer than normal. Our product gross profit increased by $9 million or 7% to $137 million as an increase in home heating oil and propane margins more than offset the impact of the lower volume sold. Our operating total operating costs did increase by $9 million or 10% to $96 million of which $1.8 million related to the change in our weather hedge position. Acquisitions accounted for $1.6 million of the increase and in the base business expenses rose by $5.6 million reflecting higher wage rates the impact of increased product cost, uncertain operating expenses, somewhat higher insurance premiums and a normalization of our medical expenses. During the first quarter of fiscal 2022, we’ve recorded a $30 million non-cash charge relating to the change in the fair value of our derivatives. By comparison, in the first quarter of fiscal 2021, we recorded a $17 million non-cash credit or change -- a negative change of about $30 million. Our net income decreased by $23 million to $14.5 million largely due to the after-tax impact of the unfavorable change in our derivative instruments. Adjusted EBITDA decreased slightly by $800,000 to $44.5 million as the impact of higher per gallon margins was more than offset by lower volume somewhat higher operating expenses and unfavorable change in our weather hedges and a slight decline in service profitability. And with that, I’ll turn the call back over to Jeff.
Jeff Woosnam: Thanks, Rich. At this time, we're pleased to address any questions you may have. Eric, can you please open the phone lines for questions?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] At this time, we will pause momentarily to assemble our roster. Our first question comes from Tim Mullen with Laurelton Management. Please go ahead.
Tim Mullen: Hi. I was just curious if you could give any color in terms of when we could expect updates with regards to the buyback?
Jeff Woosnam: Well, we have -- we do have a footnote in the 10-Q as to what we purchased, what we purchased the shares for and what remaining shares are outstanding. What other information can I help it with?
Tim Mullen: Would there be any update to what's left on the existing program?
Jeff Woosnam: Yes, it's right there. And it's right there in the 10-Q. I can look it up and give it to you if you want.
Tim Mullen: Yes, I mean, I see that there's about 1.9 million units left. I'm just curious if that program will be updated. Isn't there usually a window falling earnings when that can be changed?
Jeff Woosnam: Yes, we're running around depending on what's available, and the calculation. We buy about 200,000 to 250,000 units a month. So that'll last us until the next open window. And I can't promise whether we're going to increase this -- the buyback shares but just historically we have.
Tim Mullen: And -- sorry, when is that window open again?
Jeff Woosnam: That would be May after we report the first -- the second quarter.
Tim Mullen: Great. Thanks very much.
Jeff Woosnam: First week in May and so.
Tim Mullen: Thank you.
Jeff Woosnam: You’re welcome.
Operator: [Operator Instructions] Our next question comes from Michael Prouting with 10K Capital. Please go ahead.
Michael Prouting: Yes. Hey, guys good morning. I know it's kind of a cliché that I did want to congratulate you on a terrific quarter. Just great execution across the board given the weather headwinds and [post] in terms of margins, cash conversion cycle and also customer retention. Just a couple of questions. Just first on the customer churn or customer retention. This is the best quarter I can remember in a long time. Do you think we're starting to see an inflection point here or what's your thinking on customer churn and customer retention going forward?
Jeff Woosnam: Yes, Mike I'm encouraged, we're going to have to see how the rest of the year unfolds. But certainly we were coming-off with a very strong quarter, I'm encouraged to see not only a reduction in customer churn, reduction in losses and improvement in retention as we've talked about in prior calls. But we also saw an increase in in a new customer additions and we just continue to work on improving the customer experience using technology, employee training, analytics as a way to work smarter and really better understand our customers. And at this point, so far the results seem to be supporting that. So we'll have to see how things unfold as we move forward, but certainly encouraging progress.
Michael Prouting: This really great, and I wanted to call that out. As you've mentioned on prior calls, even just small changes in customer retention and customer churn can actually have a dramatic value on the long-term value of the company. So it's really, really encouraging to see that progress and be great to see further progress going forward. Just a couple of other quick questions, wondering if you can give an update on the acquisition front. And in particular, where do you see any larger the potential for any transformative deals at this point? And then I know the buyback is -- has already been raised. I'm just curious in terms of capital allocation, if you feel satisfied with the number of shares, you're repurchasing right now, that seems to be a little bit lower than prior quarters. Obviously, that's determined by the formula. But I'm just wondering if he's given any thoughts to adjusting that formula at all, given the slightly lower repurchase rate especially in light of the repurchase you made outside of the repurchase program. And I'll close with those two questions. Thanks.
Rich Ambury: I'll take the – 
Jeff Woosnam: The acquisition.
Rich Ambury: Well, I'm going to take the repurchase question first, Jeff.
Jeff Woosnam: Sure.
Rich Ambury: We can't really increase the number of shares that we buyback. I mean, it's a calculation. There's nothing we can do. It's a SEC formula with a look back over I guess 60 days and we're limited to how much we can amount what we can buy back. Jeff if want to discuss the acquisition question?
Jeff Woosnam: Yes I….
Michael Prouting: Just like -- Jeff, just before you go on with the acquisition, just to finish on the buyback. Rich, is it not possible to adjust the formula there so that you could pick up a few more shares?
Rich Ambury: It's not our formula. It's an SEC derived formula that you look back. We can't adjust anything.
Michael Prouting: Okay, and you can adjust the price that you're using to repurchase or anything?
Rich Ambury: Yes, we can always adjust the price if we want to. Sure.
Michael Prouting: Okay.
Rich Ambury: That will require a board decision?
Michael Prouting: Yes, that's what I'm asking.
Rich Ambury: Well, we have a price out there and you can look at our numbers and figure out kind of where it was, but…
Michael Prouting: Yes, sir.
Rich Ambury: We don't want to overpay either.
Michael Prouting: Understood. Okay. So, it sounds like you're not desirous of making any changes to try to pick up the repurchase rate ___?
Rich Ambury: That's -- as far as the price goes. That’s correct.
Michael Prouting: Okay. All right, thanks.
Jeff Woosnam: Hey, Michael, in terms of acquisition activity, I mean, the activity level overall has been pretty consistent over the past five to six months and it's continued into the heating season, which is a little bit unusual as we get farther into the season, often sellers are very busy running their own businesses. So there's a little bit of distraction there. But we're encouraged by that. And, as I mentioned, we completed three small, but I feel high quality deals in the first quarter and have a number of prospects in various stages of evaluation and discussion. So I'm encouraged as for transformative deals difficult one to answer. At this point, I don't see anything in our immediate future, but that could change tomorrow as opportunities present themselves.
Michael Prouting: Okay, sure. Yes. Thanks for the update. And again, congratulations on just terrific execution across the board.
A - Jeff Woosnam: Thank you.
Operator: [Operator Instructions] At this time, there appears to be no further questions in queue. I would now like to turn the call back over to Mr. Chris Witty for any closing remarks.
Chris Witty: Well, thank you. Thanks for taking the time to join us today and your ongoing interest in Star Group. We look forward to sharing our 2022 fiscal second quarter results with you in April. Thanks, everybody.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.